Operator: Good morning. My name is Savanna, and I will be your operator today. At this time, I would like to welcome you all to Celsion's fourth quarter and full year 2018 financial results conference call. All lines have now been placed on mute to prevent any background noise. Following the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] At this time, I would like to turn the call over to Mr. Jeffrey Church, Chief Financial Officer of Celsion. Please proceed, Mr. Church.
Jeffrey Church: Thank you. Good morning, everyone, and welcome to our investor conference call to discuss our 2018 results, which we announced earlier this morning before the market opened. Joining today are Mr. Michael Tardugno, Celsion's Chairman, President and CEO and Dr. Nicholas Borys, Celsion’s Chief Medical Officer, who will be available to answer questions during the Q&A session of this call. Today's conference call will be archived, and a replay will be available beginning tomorrow and will remain available by phone until April 12, 2019 as well as available on Celsion's website for 90 days. Before we begin the call, we wish to inform participants that we will be making forward-looking statements regarding Celsion's current expectations and projections about future events. Generally, forward-looking statements can be identified by terminologies such as expects, anticipates, believes or other similar expressions. These statements are based on current expectations and are subject to a number of risks and uncertainties, including those set forth in the Company's periodic reports filed with the Securities and Exchange Commission. No forward-looking statements can be guaranteed, and actual results may differ materially from such statements. At the end of today's formal remarks, we will open the call for questions. It’s now my pleasure to turn the call over to Celsion’s Chairman and CEO, Michael Tardugno. Mike?
Michael Tardugno: Thank you, Jeff. Good morning, everyone and thank you for joining us for today’s call. This morning, I was reviewing this very well written press release, thank you Jeff for that. I was reviewing it with our staff and I couldn’t help, but feel proud of all of the accomplishments that this small team here in Central New Jersey has been able to achieve over 2018 of positioning this company we believe for success in 2019. So, on behalf of shareholders to the staff, Celsion’s staff that is listening in, we thank you very much for all of your hard work and commitment to our mission. If you’ve been following our press releases and conference calls, you know that we’ve made meaningful progress on our, with our ongoing programs for ThermoDox and GEN-1 as well as strengthening our balance sheet and cleaning up our capitalization structure, all delivered as promised across our various communications over the past year. Among our many accomplishments, I'd like to emphasize that enrollment of our pivotal 556 patient global phase 3 OPTIMA study in primary liver cancer, also known as HCC, hepatocellular carcinoma, was completed ahead of projections in August of 2018. And then we're now looking forward to the first of two pre-planned interim efficacy analysis for the OPTIMA study expected later this year. And if needed, the second interim will be sometime in mid-2020. We will discuss this more in a minute. Our phase 1/2 OVATION II study was initiated in the second quarter of 2018 as planned. This promising clinical development program in immunotherapy has generated impressive results to say the least. During the first quarter of 2019, we reported final data from our phase 1b immunotherapy program, known as the OVATION I study in ovarian cancer. These data showed 100% objective response, that's partially complete responses in patients treated at the two highest dosing cohorts and 88%, R0 resection scores in patients treated at the two highest dosing cohorts. And for those of you who may not know, an R0 is a prognostic for prolonged survival, R0 being the best, and a remarkable 75% improvement in median time progression for those patients treated for protocol. We enter 2019 with some 28 million in cash and investments. As promised, we achieved this through the most investor friendly strategies, with very little dilution, no share price discounts, and no warrants that can be used to leverage [indiscernible] position. I’d say to sum it up, we are well positioned with solid fundamentals, the right resources and a sound capital structure, all sufficient to see our clinical programs through transformative milestones, and in doing so, create significant value for our shareholders, patients and the medical community. Now, I’d like to talk about the OPTIMA study, our global pivotal trial, evaluating our lead drug candidate, ThermoDox, combined with radiofrequency ablation, also known as RFA to treat newly diagnosed primary liver cancer patients. For those who are new to Celsion, I want to give you some background. Our global HCC incidence is about 750,000. It's growing at about 3% annually. This is the largest unmet medical need in oncology today irrefutably, the largest unmet medical need remaining on oncology. These statistics come from the latest Global Cancer Statistical Database. We are well positioned for the market, OPTIMA is being conducted in 14 countries in North America, Europe, China and Eastern Asia, all the major markets for this indication. OPTIMA’s primary endpoint is overall survival. The study is 80% powered to show a 33% improvement in survival, p equal to 0.05, at the final data analysis, which based on the stat plan, occurs after 197 events or deaths. The OPTIMA study design was too event driven, pre planned interim efficacy analyses. The first and 118 deaths that represents about 60% of the number of required of the final analysis, the second if needed at 158 deaths is 80% of the final analysis. The DMC completed its review of the fully enrolled population in December. From this meeting, we can report the following. We expect that the 118 deaths will occur very early in quarter three, 2019, which is in line with our previous communicated estimates. We will report the outcome as soon as possible following normal quality checks in preparation following the DMC’s review. A second analysis, if necessary, will follow some six to eight months thereafter. We can also report that medium PFS from the fully enrolled study continues to exhibit a great deal of promise. Most recent PFS analysis of the fully enrolled study shows 21.2 months or approximately 4.5 months better than what we would have expected from the 285 patient subgroup from the HEAT study, a group that is virtually identical to the OPTIMA study population. You will recall from our prior discussions that a three month PFS improvement in this subgroup resulted in more than a two year survival benefit, remarkable two year survival benefit. I want to be careful to point out that the PFS data from the OPTIMA study is blinded and that the comparison to the HEAT study may not be predictive of the outcome. But I can tell you this management team is excited nonetheless. I also want to make a comment about the quality of the HEAT study subgroup on which the OPTIMA study is based. We determine this subgroup, not by looking at the result and working backwards. I’ll say that again, we determine the subgroup, not by looking at the results and working backwards. If we did so, skepticism would be justified, whereas we identify the key success variables through careful analysis in prospective preclinical studies. In this case, RFA is standardized to a minimum of 45 minutes was the key variable. We then apply that to the intensive HEAT population, 700 patients in each study and then and only then determine that 285 patients were treated according to the 45 minute RFA protocol with and without ThermoDox. We then followed this well balanced group quarterly for 2.5 years and what we saw was nothing short of astonishing. More than two years survival benefit in the group treated with a single dose of ThermoDox, let me say that again, 285 patients in a well balanced prospective subgroup, more than 24 months overall survival following the well controlled RFA procedure combined with a single dose of ThermoDox in the largest unmet medical need in oncology. Now, the purest can remain skeptical, but the NIH isn’t. In a separate independent analysis of the entire dataset from the HEAT study, NIH confirms independently that an RFA procedure of increasing heating time plus ThermoDox results in a statistically significant overall survival improvement. So with that endorsement presented at the RSNA conference, to a standing room only crowd, the company is assuming and moving forward that the trial will be successful. We're hard at working on drafting the NDA and rigorously assuring that our commercial supply pipeline from three separate factories, two in the United States, one in China, are prepared and ready to go. We’re rigorously conducting our initial market research and establishing our launch plans for China, United States and for European Community. We believe this is a blockbuster opportunity by anyone's definition and frankly we could not be better positioned to take advantage of it. So, I would like to turn to our equally exciting, but earlier phase program in ovarian cancer, the OVATION II study. In OVATION II, we’re evaluating GEN-1, our gene mediated IL-12 immunotherapy in patients with newly diagnosed stage 3 and 4 ovarian cancer. To date, we've completed five GEN-1 trials in ovarian cancer, demonstrating safety, very important, safety very important in DNA based clinical trials. So five trials demonstrating safety, biological and clinical activity. Much of this was published in future oncology in October 2018, describing GEN-1’s non-viral nano particle delivery system. Data from our phase 1 dose escalation study, the OVATION 1 study presented at the March ASCO SITC show that newly diagnosed stage 3 and 4 patients treated with neo-adjuvant chemotherapy plus GEN-1 resulted in a marked reduction in immunosuppressive response across multiple biomarkers, including FOXP3, IDL1, PDL1, and PD1. And substantial evidence that GEN-1 exerts a pro-immune change in a tumor micro-environment. This translational data appears to support the remarkable clinical findings that I mentioned earlier and I worth repeating, without a percent objective response rate, that's partially and complete responses in patients treated at the two highest dosing cohorts. 88% R0 surgical resection scores in patients treated at two highest dose cohorts and a significant improvement in median time to progressioning. So as you know, we have been sufficiently impressed with these findings to look for ways to accelerate the program. Delaying cancer progression in this population we know extends launch. Conversely, we know that progression represents the beginning to a very short end for these unfortunate patients. Our thesis is the significant delay in progression has a significant benefit. The early evidence suggests that GEN-1 may have the potential to achieve this. We know that GEN-1 is safe, translational data is irrefutable and the early clinical data is impressive, even to our most skeptical PIs and medical advisors. So while recently we presented these data to the FDA in a short white paper summary, which was followed by an informal telephone conference call this past Friday, an award we could not be more pleased. The call was planned for 30 minutes, it lasted for more than 45 minutes, we could not have asked for more professional discussion. The FDA was a tenant prepared, interested in our views and very willing to provide constructive advice. Moreover, we received a great deal of encouragement and I'd say repeatedly for innovative approach to IL-12 for the trial design and for the target population. The agency participants were very complimentary of our presentation, our past work and our future commitment to GEN-1, to acknowledge that the ovarian cancer is a challenging unmet need and that preliminary GEN-1 data, both clinical and translational and I'll put this in quotes, were exciting. The agency was very encouraged and again encouraged Celsion to continue development. During the meeting, some of the outcome was this. We established that PFS was an acceptable primary endpoint, so long as the radiology was independently read. The FDA did point out, however, that it was difficult to fully assess GEN-1’s independent clinical benefit or without having a controller. Now, and that the confounding factors being, might be the neo-adjuvant therapy and surgery, so these are the suggestions that FDA provided going forward. Once the dose is established in our randomized OVATION II study, FDA recommended an in-person meeting to discuss future trial designs, potentially to accelerate clinical development. They also asked us we developed supportive randomized data from a small subset of the OVATION II study and submitted with our phase 1 data for breakthrough consideration, if we so choose. So what does all this mean? We see this as an exceptionally encouraging outcome. PFS is an accepted primary endpoint. Very important. The invitation to submit supportive data from a randomized phase 2 study is a strong signal, we believe that they would like to see the already identified trend confirmed in a subset of patients from our ongoing phase OVATION II study. And perhaps I would infer from this that perhaps they're suggesting they would like to see GEN-1 available to patients sooner rather than later. And even the confounding factors of neo-adjuvant therapy and surgery work in our favor, assuming that the R0 resection rate with GEN-1 continues to strongly favor the use of our product. So I can say on behalf of the company and our participants, we could not be more pleased. Moving on, as I have said in prior conference call, OVATION II has been exceptionally and surprisingly difficult to get started. And it's not for lack of effort, I can promise you that, I can promise you also that this program has our full attention. Believe in the technology, we have the support of some of the most important investigators in ovarian cancer research. There's no doubt that the translational data supports the pro-immune activity that we were expecting from IL-12. That being the case however, our first challenge to getting the study started with budget. I mentioned that to you, I think two conference calls ago where some institutions proposing patient costs over 50%, I’ve got to say, we're not BMS, we can't concede to those kinds of terms. Consequently, taken a little extra time to negotiate reasonable budgets, which we have done. A more recent and confounding development relates to safety and biological review committees. And I just -- I say this with a little bit of exasperation, many if not all third tier institutions not required to, their right to independent IRBP reviews before they will consider the contract and budget issues. And with the NIH’s decision to end their central review of DNA based trials, all clinical sites now have added a biological review committee for approval of the study before the study is initiated. And now while we can't make up for all the associated delays, we've taken steps to ameliorate them as much as possible. The study was originally planned for 10 sites in the US as I've told you. We've expanded our program to 30 sites and are considering expanding into Canada also. Because of the state we've initiated seven sites and expecting to have 20 online by June and all 30 recruiting by the end of the year. Meanwhile, recruitment is underway, we estimate that data will be made available beginning in the second half of this year. The trial, as you recall, is designed in two phases. The first is a lead in dose escalation phase at the 100 milligrams per meter squared. This is 30% higher than the final dose we saw in OVATION I. This phase will evaluate approximately six patients dosed with GEN-1 for safety. Since this is a randomized study, not every patient will be getting GEN-1. The second phase will enroll a total of about 130 patients randomized again one to one. So with this randomization, one more for sure, GEN-1’s impact on progression. Patients are treated in the study with standard neo-adjuvant chemotherapy, plus 8 weekly cycles of GEN-1 or neo-adjuvant chemotherapy alone depending on which arm they are randomized to. Patients then undergo interval surgery. Following surgery, patients in the therapeutic arm will be given GEN-1 plus adjuvant therapy, patients in the control arm will receive adjutant therapy alone. I said our primary objective is PFS, with GEN-1’s ability to continue to recruit the immune system, we expect cancer progression to be blunted. Our hope perhaps even eliminate it. For the study overall, the primary -- PFS primary analysis will be conducted after at least 80 events have been observed or after all patients have been following for at least 16 months, whichever is later. Under the open label, design clinical data will be disclosed throughout the execution of the trial, as it is released by the study’s investigators. Importantly, we believe the additional sites that we are now initiating will facilitate faster patient enrollment and will allow us to track to our original timeline and enable us to complete the enrollment in phase 2 portion by the end of 2020. That's our objective, we are committed to it. I’d now like to point out two other very important points, regarding the GEN-1 development program. And not to be missed. We've been concerned about the high cost of GEN-1, particularly in the volumes that it's administered to patients. If we’re successful, we will be the largest consumer or user of plasma DNA in the world, bar none, perhaps using -- needing more plasmid DNA than all the other development -- DNA development companies combined. So, our efforts to reduce costs have been very important to the success of the program. What I can tell you is this, our first GMP batch of plasmid produced by Hisun, a high quality cost efficient supplier was completed this week. Plasmid batch costs from Hisun will drop by over 85% as compared to that of our European supplier. Additionally, costs for GMP material are synthetic polymeric vector was reduced by over 50% of the previous cost. This cost reduction program was initiated about 16 months ago and is critical, as I said, to the commercial success of GEN-1 and represents a major milestone in our overall development program. Bottom line, at scale, we will have almost an order of magnitude reduction in COGS, cost of goods sold as compared to the rapidly increasing and I'd say predatory pricing of the established ventures consolidated supply chain CMO or contract manufacturing organizations. Second very important point. I think this deserves a great deal of consideration from investors. I’ll also call your attention to the last page of our 10-K file this morning with the SEC. You'll notice a subsequent event that we have renegotiated the milestone payment terms for GEN-1, extending it 12 months from the phase 2 trigger event for a full cash payment of 12.4 million, which can be made either as stock or cash, companies choosing, is not expected until the OPTIMA study is fully completed in a number of important milestones for the GEN-1 program are achieved. Also as an option, the company at its sole discretion may choose to settle the payment on the original timeline for a deeply discounted $7 million. We believe that this is an important concession on the shareholders part and there's a vote of confidence in our work and the belief that GEN-1 has the potential to be a meaningful therapeutic in oncology. In conclusion, from a shareholder standpoint, I hope you’d agree that 2018 was a standout year. We implemented numerous initiatives to clean up our capitalization table. There are now no warrants to leverage a short position, the few non-strategic warrants that remain expire next week. All in, we're a phase 3 company with fewer than 20 million shares outstanding, potential for extraordinary returns, is in my opinion, indeed extraordinary. Additionally, we’re actively engaging with the fundamental investors and expanding our Investor Relations efforts within research coverage and presentations at numerous healthcare conferences. Most recently, we presented Oppenheimer's Annual Healthcare Conference on March 19. A presentation and archived webcast are available on our corporate website. I invite you, I encourage you to review it. Last point that our cash balance to approximately $28 million as of December 31 2018, coupled with continued sale of approximately 4.5 million New Jersey net operating losses provides us with an operating runway that takes us through 2020. In a word , we could not be better positioned. To discuss our financials now, I'd like to turn the call over to Jeffrey Church. Jeff?
Jeffrey Church: Thank you, Mike. Details regarding Celsion’s 2018 financials were included in the press release and Form 10-k made available this morning before the market opened. As Mike stated, we have made a great deal of progress across the business during 2018, including financially with an ongoing focus on efficient cash management, for successful program execution. As of December 31, 2018, Celsion’s cash and investment balance was $27.7 million, enabling us to continue to focus on clinical and operational execution into the second half of 2020. In June, we closed on a four year $10 million venture debt agreement with Horizon Technology Finance Corporation for which the first two years, our obligation is interest payments only. This debt agreement provides additional flexibility to finance our development programs. We are also pursuing a variety of financing initiatives to further strengthen our balance sheet, including the following. In September, we filed a new $75 million shelf registration statement with the SEC, this replaces our existing shelf, which expired. We announced two equity financing facilities that affords us the opportunity to raise additional capital in an opportunistic fashion with no warrants and a very low commission fee. The first facility is a $15 million common stock purchase agreement with Aspire Capital and the second facility is a $16 million at the market facility with Gens Trading. We have tested both of these new financing facilities during the first quarter of 2019, raising some additional capital in a very opportunistic manner. Both facilities work very effectively in line with our expectations. In early September, we announced that our application to sell $12.5 million of unused New Jersey net operating losses for the tax year 2011 to 2017. In December, we sold 11.1 million of our New Jersey NOLs for a total of 10.4 million through the New Jersey's economic development authority’s NOL program. This program is available to businesses based in New Jersey and provides the opportunity to sell up to a maximum of $15 million in our NOLs per company. Since we still have room before we reach the maximum proceeds available to us under this program, we anticipate at selling additional NOLs in 2019 and 2020 until we reach the maximum allotment. For the year ended December 31, 2018, Celsion reported a net loss of $11.9 million or $0.68 per share. This compares to a net loss of 20.7 million or $2.72 per share for the prior fiscal year. Operating expenses were $21.6 million in 2018, which represent a $2.6 million increase from the $19 million in the prior year. During 2018, the company incurred $4.6 million in non-cash stock option expense compared to 1.3 million in the comparable prior year period. Net cash used for operating activities was $7 million for the year ended December 31 2018, which compares favorably to the $16.6 million used to fund operations in 2017. Total cash provided by financing activities was approximately $11 million during 2018, which included $10 million in gross proceeds from the company's venture debt facility completed in June 2018 with Horizon and $1 million in net proceeds from sales of common stock. In addition to these traditional forms of financing, the company received, as I mentioned, $10.4 million in non-dilutive capital from the sale of its New Jersey state NOLs in the fourth quarter of 2018. Research and development costs decreased by $1.2 million or 9% from the 13.1 million in 2017 to $11.9 million in 2018. Clinical development costs for the phase 3 OPTIMA study decreased $2 million as a result of two factors, costs and concessions negotiated with their lead contract research organization coupled with lower monthly CRO fees and investigator grant payments after completing enrollment of the phase 3 trial during the third quarter 2018. General and administrative expenses were 9.7 million for the year ended December 31, 2018 compared to 5.9 million in the comparable prior year period. This $3.8 million increase was due to higher professional fees of approximately $700,000, higher travel expenses of approximately 100,000 and higher compensation expenses totaling $2.9 million. Compensation expenses include costs associated with several new personnel additions as well as an increase of $2.3 million in non-cash stock option expense. Other expenses included a non-cash charge of $4.5 million for the year ended December 31 compared to a similar non-cash charge of 2.5 million in 2017, both of which related to the impairment of certain in process research and development assets related to the development of our glioblastoma product candidate. These charges were offset by $4.2 million reduction in the projected earn out liability related to potential milestone payments for this product candidate in 2018 and 2017. The company recorded $0.5 million of interest income from its short term investments during 2018. In connection with the new debt facility with Horizon, the company incurred interest expense of $700,000 during 2018 compared to about $100,000 during 2017. As mentioned earlier, during the fourth quarter, the company recognized $10.4 million in income tax benefit, shows up on our income statement, resulting from the sale of its cumulative New Jersey NOLs. The company has approximately $4 million in future tax benefits remaining under the New Jersey NOL program for future years. We anticipate that our first quarter net cash usage will be approximately $4.2 million, leaving us with over $23.5 million of cash at the end of the first quarter of 2019. This cash balance together with additional NOL sales projected for 2019 is expected to provide us with over seven quarters of runway, extending our operating horizon through 2020. Our balance sheet and business fundamentals remain strong. We are committed to executing on our financial and operating plan and we have the financial leverage to properly capitalize the company for success and drive value for our shareholders. I’d now like to turn the call back to Mike.
Michael Tardugno: Thank you, Jeff and I sincerely thank you on behalf of all of our shareholders who you look out for every single day. Just I'll conclude with a few comments. First, we accomplished an enormous amount last year, all the while looking out for our shareholders’ interests, setting us up for a strong 2019 with important data expected for both of our development programs in this year. Both ThermoDox and GEN-1 address significant needs in oncology. And both represent blockbuster opportunities, our ThermoDox positioning, market access and cross with major opportunity in the US, Europe and China market. If we're right, ThermoDox will fuel the growth engine for GEN-1 and the pipeline promise, for liposomal and theraplast platforms. I'm extremely proud of all that Celsion team has accomplished over this last year and I'm excited for 2019. This will be potentially a transformative year for Celsion. I hope you stick with us for a ride that could be the ride of your life. With that now, I'll turn the call over to the operator for questions.
Operator: [Operator Instructions] And we will take our first question from Kumar Raja from Brookline Capital Markets.
Kumar Raja: So first one on the OVATION I study. So in terms of the changes in the tumor micro-environment, how soon do you see these changes? And how long is this sustained?
Michael Tardugno: Dr. Borys will answer that question.
Nicholas Borys: Good morning. This is Nick Borys. That's an interesting question. We haven't measured the duration of the changes, we've reported on the changes at the last ASCO-SITC meeting. But we only have time points of baseline and the time of interval debulking. So to measure the duration of that change is a little bit more difficult for us to do. So we just have to keep an eye on this space as we move forward into our current OVATION II study because we will have the advantage of having a controlled population where we could measure the differences. So hopefully that will be able to answer your question more clearly.
Kumar Raja: Okay. And I also have a question in terms of the dose establishment in the OVATION II, looks like you are going to start with 100 milligram per meter squared. One study is safe and very tolerated, what would be the doses that would be tested in the randomized part.
Nicholas Borys: This is Nick Borys again. Yes, that's correct. We're starting the OVATION II study at 100 milligrams per meter squared dose that's based on our independent data safety and monitoring committee as recommendations from the previous studies. As we've reported, we have not identified any dose limiting toxicities in our patients. So the drug looks to be very manageable and safe in patients. The study is designed only to go as high as 100 milligrams per meter squared in the OVATION II. If we do see some DLTs, we do, the study does allow for dropping back, a dose back to the previously declared safe doses as 80 milligrams per meter squared. I think, we are, as we discussed the data, the translational data specifically with our experts, I think all of them agree that we are beginning to see the maximum biological activity in the GEN-1 data. So I don't think we're going to be dosing to tolerance, we will be dosing to maximum biological activity.
Kumar Raja: And in terms of the OPTIMA study, what is happening in terms of events? Are you guys on track and expect that the interim analysis would be in the later part of this year?
Michael Tardugno: Yeah, the study is, for the most part on track. We carefully look at the number of patients who die or the number of deaths, we track them. I mean, obviously, there always could be a stutter step, but we are anticipating the 118th death to occur very early in the third quarter. We may have reported very early on that we expected it could be as soon as April, April, May, I mean, so we're right in the same timeframe that we have been forecasting. So once the 118th death is achieved, and Dr. Borys and the clinical team have a very aggressive means to be able to detect that, so we'll detect that as soon as possible. Then the data is put into the data -- in the database, it’s scrubbed. The quality checks are made, the forms of prepared, it's reviewed by the DMC and it's following that, I think, we can make some statements.
Kumar Raja: Okay, final question on GEN-1 in glioblastoma, what needs to be done before you guys can enter into the clinic in glioblastoma? And how is the tumor micro-environment similar or different from what you are seeing in the ovarian cancer?
Michael Tardugno: So I think we announced previously, Kumar, that we’ve put our plans for GBM on hold. The reason being that we've seen some progress by ZIOPHARM and we applaud them frankly, with a similar approach using a viral vector in both the recurrent population, I understand they’re now treating patients in newly diagnosed population, it may be expanding into pontine glioma. So, unless and until we, it's very, very difficult to compete, as you can imagine, with the therapy that's virtually identical from a mechanistic standpoint. And so we announced some time ago that we were setting aside our plans for GBM until we know the outcome from the ZIOPHARM program.
Operator: And we will take our next question from Justin Kim with Oppenheimer.
Justin Kim: Just a couple on GEN-1, how long might you anticipate it would take to enroll the initial six patients for the study? And is there a target medical meeting that we might get an update from the investigator on those patients?
Michael Tardugno: Yeah, so, I think we're hesitant to give any forecasts at this moment on enrolling. As I said, we'll have 20 sites up and running by the end of the second quarter. We anticipate getting quick traction, really to enroll the six patients to establish the dose and the following six patients that would not be -- who would be treated in a control arm. Altogether, that's 12 patients and 20 sites. So I suspect that we could be relatively quick in getting that portion completed, we do have some patients who are enrolled in the study as we speak. So, I’m really -- given some of the stutter steps that we've had, I'm hesitant at this point to give you any firm dates. That being said, once we establish a little bit more confidence, we will be very quick to give you the answer to that question.
Justin Kim: And then of the 30 sites that you're planning to have the full sort of phase 2 portion of this study, enrolling patients, have you identified all these sites? And would they be primarily academic, oncology surgery centers?
Michael Tardugno: Yeah, so we've engaged a CRO to help us with that, a CRO, whose only focus really is in identifying clinical sites for trials like ours. And it's actually -- it's associated with Western IRB. So they have this enormous database to identify sites, and to evaluate the potential activity of those sites. Dr. Borys and his team have been working closely with this CRO and maybe you can give a little bit more of an update on that.
Nicholas Borys: Yeah, so we primarily target sites that have a very robust staff of gynecological oncologists. And also to the point of your question, the academic side, so I would say, 80% of them at least are academic centers, and now we're finding places that are practices associated with major hospitals that are practices that see a lot of patients, that do a lot of work in this area, that already have a track record in clinical research. And so here, we're finding that this could be a tremendous source of patients and getting closer to the patient care of the way it's practiced in this country. So this is something that we're very excited about that we hope will accelerate the patient recruitment and getting the data on time.
Justin Kim: Great. And then the inclusion of Canadian sites would be part of the 30 or in addition?
Nicholas Borys: That would be inclusive, and that number isn't carved in stone, we're going to – we will adjust that number as the enrollment comes in. So maybe we'll need more sites, maybe we'll need less sites. So, but right now, our target is at least 30.
Justin Kim: Okay, great. I just had one last clarification question with respect to the early third quarter interim. Does that timeframe include the time for the DSMB review data collection and quality checks? Or is it that you would anticipate that the number of deaths that trigger at that point and then that would start the process of all those sort of data collections?
Michael Tardugno: That starts the process. So once we hit the milestone, 118 deaths, we then collect the data. And then it's obviously, it's scrubbed. It's to look for any quality issues, just typical than the tables, but see those things and graphs are produced, both blinded and unblinded and they’re submitted to the DMC for their assessment.
Operator: And our next question will come from Matthew Cross from JonesTrading.
Matthew Cross: Hey guys, congrats on the progress this past year and it looks like a very exciting one ahead for both programs here. I had a couple of questions relating to each. So starting out, it sounds like since your last or your update last quarter, it sounds like you refined the timelines for the OPTIMA readouts with the first interim effectively on track, but then a bit of a delay relative to prior guidance of around Q4 of this year for the second interim, I guess towards more mid-2020. So obviously the event is for the trials event driven, it's a moving target. But given that you've noted blinded PFS is trending quite closely with what you've expected, could you give us a little bit more color as to if this has changed or anything you're hearing from investigators that would have led you to revise the guidance here for the timing of that second interim look?
Michael Tardugno: Yeah, so our outlook really is based on the latest information, blinded information that we received following DMC’s review. The estimate of the deaths greater is provided by our statistician. It does appear that the patient deaths are occurring at a lower rate than we had seen earlier. I think we were concluding on the last time we spoke, we were concluding that we would be seeing 158 deaths by the end of this year. Looks like that's going to slip into early next year. On the whole, I think that we think that tracks nicely with the PFS data that we've seen. So PFS now looks like it's in the OPTIMA study is taking about four months longer and when we compare it to the subgroup in the HEAT study. So longer PFS, it's not surprising to us that it's taking longer to achieve the number of deaths to hit the evaluation points. Does that answer your question?
Matthew Cross: No, I think that does, appreciate that. And then, since this first interim data readout for OPTIMA is likely to be a major part of the story for 2019, could you kind of remind us of that optionality that I think you've kind of alluded to a little bit here, subsequent to this first look, and even for the second, next year before final data, in terms of what modifications you may be able to make if the lesser PFS for either arm or negatively outside of what you're anticipating, but more asking also about the potential to stop the trial earlier is a substantial enough survival benefit. I guess, this 33% specifically is shown sooner.
Michael Tardugno: Yeah. So the hazard ratio at the first interim, in order for us to be successful as 0.61. At the second interim, I believe it's 0.70. And at the third interim, that's 0.75. So if we want to talk in layman's terms, 0.75 translates to a 33% improvement, 0.70 represents a 42% improvement and 0.61 approximately 60 plus percent improvement in the way the statisticians talk about in the risk for death. So, and we use this, this is really according to this [indiscernible], we use this higher hurdle rate, it's smaller numbers to minimize the health spend, minimize the penalties associated with taking an interim look. It gives us, odds on, a better chance, overall chance even though we may have for success even though, we may have to wait until the end. So the guidance we've been giving is really based on the subgroup, the prospective subgroup that I talked about, 285 patients in which we saw a hazard ratio, I believe, it was 0.65 with p equal to 0.02. So if you've written those numbers down, you can plot that 0.65 somewhere between the first interim and the second interim. And the guidance we've been giving Matt is that, we don't expect, based on this analysis, that the first interim would be the one in which we claim to stop the study. It’s a chance, but that probability estimated by our statisticians is a -- it's less than 50%. So likely higher chance at the second interim, where the hazard ratio 0.7 is clearly lower bar than the 0.65 that we saw in the subgroup. Either one of these two, however, represents an opportunity to stop the study for success. And Dr. Borys and the DMC have been discussing exactly how we would do that. And it's always a little bit tricky, but I think we're not going to send any new Presidents here. We'll do it the right way. But either one of them could be sufficient to stop the study for success. In a case where we have a fewer number of patients, we want to be critically sure that there's no abnormalities or issues with the data that could confound an opinion that we've done the right thing. That being said, all that being said is recall that this is a study that's fully enrolled, it’s a study with a definitive endpoint, it’s so less, I mean, you’re either dead or alive, unfortunately. So there's no, if we choose to assume or choose this to stop the study for success in either one of these interim endpoints, we think we'll have an extraordinarily strong argument that the -- unfortunately, absolutely strong argument that the study should be considered for an NDA submission. Meanwhile, so I'm going to talk about all of that and also long answer. Meanwhile, I think Dr. Borys, a little over a year ago, had a conversation with the CDE of CFDA, Chinese FDA, regarding their -- let me just maybe characterize it this way. There, in patients with getting the data from the study, with their patients, with getting a therapy on the market, and there is huge gap that exists in the treatment of these patients. You know that there are -- a small percentage of patients are treated with curative intent. The balance of the patients are treated with a therapy that has a survival benefit that’s somewhere between three and four years. So there's this huge gap that ThermoDox fills and they know it. And they know that if we're successful, not only fill it, but fill it very cost effectively. So they asked Dr. Borys to consider some other endpoints that may give us a quicker look at the data. In that regard, we're still talking and considering an approach that CFDA might be able to consider. Last point, there really isn't any opportunity to adjust the study. I thought maybe you made a comment that make a course correction on adjustment. There really isn't any opportunity to do that. This is studies completely enrolled. It's an overall survival study. We are collecting PFS data as supportive data, if it's needed and secondary endpoint obviously. But all in, we think we're on a track here that could be a very meaningful outcome in a large unmet need.
Matthew Cross: And then I think the last question I had was, it seems as though, one of the central themes for both of your programs here has been to encourage beneficial paradigm shift, I guess you could call it and how these patients are treated. And so given that ThermoDox is nearing its first phase 3 efficacy look for OPTIMA, are you able to speak to what kind of educational efforts and KOL outreach you've done to prep the market to further adopt treatment of larger singular lesions with RFA for those that may not be accustomed to doing so currently in advance of a potential approval?
Michael Tardugno: I can talk to you definitively. The training that's been provided to our clinical researchers [indiscernible]. That's literally hundreds of physicians, has been substantial in detailed and definitive. That said, we've presented this data to multiple medical conferences and I think the practice of radiofrequency ablation alone has changed, but maybe Nick, you want to speak to some of that?
Nicholas Borys: In terms of preparing the market, number one, we view our technology as the platform. So, what we're seeing that if once we show data that we're successful in primary liver cancer, we believe that that's just the beginning. So the drug can be applied in a, I think in a nice spectrum of HCC patients. And then there is a future, as you know, where we've studied breast cancer, where we studied other cancers as well. In terms of the KOLs, as you know, our focus is in China. We have a very healthy contingent of investigators in China that have presented data that are part of our KOL team and work with us in terms of having discussions with the Chinese regulatory authorities. And now we do have, as Mike mentioned before, we have a medical marketing team in house that are currently conducting studies to evaluate what the market potentials are and working with key opinion leaders to honing our message. So I think we have a pretty wide approach to how we're going to prepare the market and take it forward once we get the data.
Michael Tardugno: And just let me add a little bit to that. We've just taken a look at real world data coming from the Medicare database. And we'll probably put this into a slide I think that is a central theme to our corporate presentation, but I think it's worth looking at for those who want to. When we look at the treatment options for patients who are not surgical candidates, intermediate stage HCC patients, their options include RFA, microwave ablation, chemoembolization, embolization and radiation embolization. For the most part, that's it, it’s five options. RFA currently is administered in the Medicare population, which is an older population, so might be skewed a little bit here. In newly diagnosed patients, it's about 19% of newly diagnosed patients. And overall, about 22% of patients. So -- and we had been estimating in our business model somewhere between 20% and 25%. So we're almost hitting it spot on. This treatment represents a drop in to RFA. Our biggest challenge I think is going to -- if there is a challenge here, is going to be educating RFA practitioners on the appropriate technique to maximize the effect, not only of RFA, but to maximize the impact of ThermoDox, which is in a hard sell. Once you see the data, it’s just not a hard sell. That technique, we actually neck in, [indiscernible] developed a web based interactive training program for that. The other thing I'd say from the Medicare database when we talk about costs, we've been really focused on the cost efficiency of ThermoDox and RFA. RFA all in, the patients who are treated with RFA, the Medicare database would suggest that 12 months treatment costs for those patients from the time they're diagnosed to the procedures implemented and the following 12 months, the cost to healthcare system is around $60,000. The cost for surgical patient is over $200,000, the cost for a chemoembolization patient is over $200,000. The cost for radiation treatment embolization treatment approaches $200,000. So if we can, in 22% of patients, they will expand enormously, I'm convinced to a broader range of -- if and once the data is positive, even if it's only 22%. And if we just dropped it, we have a very, I think, very significant opportunity for, not only for pricing, but expanding the use of RFA into a broader patient population. Well, I think that'd be an interesting slide for us to put together for you and some of the other analysts.
Matthew Cross: And you make a strong case. So I'll look forward to the next update. And thanks again for taking the questions.
Operator: And we will take our final question from [indiscernible].
Unidentified Analyst: I hope to have the pleasure of seeing you and Mr. Church at the annual meeting. I know it's about an hour already. So I'll make my question to ask, I'm sure you all want to go home, or rather go back to work. But my quick -- and first of all, a quick shout out to Mr. Church for always taking his available time to chat with me about my questions about your company. My question to you is, I thought I truly, it's a very quick two part question. Number one, I know that you were in Vietnam a while back. What's the size of that market? I assume it's not as big as China. I'm just curious what the size of the market for ThermoDox is. And my other question is, I thought in the past year or so, I had heard there was a possibility that ThermoDox might have an early approval in China. So if you could just answer those two questions. And I want to thank you again for your kindness.
Michael Tardugno: To be very frank with you, I don't think we have a good handle on the number of patients in Vietnam, who would be indicated for radio frequency ablation and ThermoDox, but we know about the Vietnamese incidences, it's very, very high. So the percentage of the population with hepatitis and eventually with HCC rivals, we believe China and some of the other countries where the incidence rate is high. And the problem in Vietnam is, and maybe Dr. Borys want to speak to this is that the patients that we're seeing, many of them are presenting with lesions that are too large for RFA. And so in order for us to get a better handle on the actual addressable market in Vietnam, we've got to do some more market research. But maybe, you want to make a couple of comments about Vietnam?
Nicholas Borys: Sure. It's interesting that you raised the question of Vietnam. Vietnam, in spite of what Mike said where the disease there is in a terrible state. But they have been one of our better recruiters for the OPTIMA study. I think that they're going to once the drug is approved in Vietnam, Mike might have mentioned in previous discussions with you that the Vietnamese regulatory authorities are keeping a very watchful eye on our studies and they actually participate very closely with the initiation of our program in Vietnam. So I anticipate that they're going to be pretty rapid taking up the drug when it's in the market. And like I said, they're past recruiters. And one big advantage of ThermoDox over the other options is that it's relatively easily done. It can be done by interventional radiologists, they don't need surgeon, they don't need any massive investment in equipment. And Vietnam welcomes that intervention for the cancers. So I do have the incidence numbers on my desk and we're happy to send them to you. But Vietnam in terms of number of patients probably has one of the higher concentration of eligible patients for us, I would say, in the Pacific Asian countries.
Michael Tardugno: Yeah. Barry, I want to – I know we're running over here, but I think you're digging into an area that is very important for commercializing our product. So the majority of the market for HCC is in the third world and China, it's a huge country. But 50% of the incidences in the world community and that is third world, Southeast Asia, Malaysia, Vietnam, Thailand, the Philippines are very high incidence rates, but not a lot of disposable income and a medical system that's under enormous pressure. So one of the things that we -- we realized this a long time ago that there really are two markets for ThermoDox, there is the developing the third world and the developed market. One of the reasons why we went the very quickly to develop a manufacturing capability in China was to get a cost of goods that would allow us to commercialize ThermoDox, in countries like Vietnam, at prices that are affordable. And so that's been our strategy. We've looked very carefully at these markets. I personally promised, for example, the Minister of Health in Vietnam that we would bring this drug to market as soon as it would became available, but we have to do so in a manner that allows us to make money too. So we’ve been very conscious of our obligation in these third world markets and put an enormous amount of effort into making sure that we have a infrastructure and the cost of goods that will allow us to do so profitably. With regards to China, I think I mentioned that Dr. Borys had a meeting with the Associate Director, Assistant Director of CDE. And again, I characterize it as impatient. This is an overwhelming problem in China. When we go to the hospitals that treat patients with HCC, it's incredible. You can't get through the hallway. There's just so many people. It’s such a great idea. They did, as I mentioned earlier, they did ask us to explore some alternate endpoints. Nick and some of our KOLs are discussing that as we speak. We think there may be an opportunity to present something later this spring before the summer to the CFDA and it could have a meaningful opportunity for the market and for the company.
Michael Tardugno: I think t hat’s it. Again, I want to thank everyone who continues to support our company and listens in on these conference calls and follows our press releases. We think we're doing some very important work. Our clinical research, if we're successful, has the potential to reshape the approach to treating some very, very difficult cancers. We'd like to ask you to stick with us. If you've been patient so far, please continue to be patient. As I said, this could be the ride of your life. Again, thank you very, very much and we look forward to speaking to you at our next quarterly call.
Operator: And this concludes today’s conference. Thank you for your participation and you may now disconnect.